Operator: Good morning, ladies and gentlemen. Welcome to Hammond Power Solutions' Fourth Quarter and 2024 Year-End Financial Results Conference Call. Certain statements that will be discussed in this conference call will constitute forward-looking statements. The Forward-looking information and statements included in this discussion are not guarantees of future performance and should not be unduly relied upon. Forward-looking statements will be based on current expectations, estimates, and projections that involve a number of risks and uncertainties which could cause actual results to differ materially from those anticipated and described in the forward-looking statements. Such information and statements involve known and unknown risks, uncertainties, and other factors that may cause actual results or events to differ materially from those anticipated in such forward-looking information and statements. These factors include, but are not limited to, such things as the impact of general industry conditions, fluctuations of commodity prices, industry competition, availability of qualified personnel and management, stock market volatility, and timely and cost-effective access to sufficient capital from internal and external sources. The risks just outlined should not be construed as exhaustive. Although management of the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Accordingly, listeners should not place undue reliance upon any of the forward-looking information discussed in this call. I'd like to hand the call over to Mr. Adrian Thomas, Chief Executive Officer of Hammond Power Solutions. Mr. Thomas?
Adrian Thomas : Thank you, operator, and good morning everyone. As we entered 2024, it was clear that adding new capacity was crucial to our future success. We needed to meet the increasing demand of our customers, and we needed to resolve the bottlenecks created by our rapid growth. And today, I'm pleased to report we succeeded and delivered another quarter of double-digit growth for Hammond Power Solutions. Our quarter-over-quarter revenues grew by 11.5%, and we grew 11% in total year-over-year. As our revenues scaled, so did our operating leverage. With strong price discipline and a favorable product mix, we expanded our gross margins 30 basis points for the full year, increasing from 32.5% to 32.8%. In Q4, our custom business continued to grow faster than our standard products. When we looked at our business in 2024, we saw this shift and mix starting mid-year and continued through the second half. We generally look at our customer markets in three buckets, traditional sectors, emerging sectors and general. Traditional markets that include heavy industry and sectors like mining, oil and gas and infrastructure projects. Emerging markets are sectors that are more recent and growing like renewables, EV, data centers. And the third bucket is really all else. It is uncategorized commercial construction. Construction projects for large office buildings, warehousing, hotels, et cetera, fall into this category. In Q4, we saw commercial construction continue to be held back by concerns over inflation, geopolitical uncertainty, and tariff policies. We also saw an impact to our induction heating business. Some of the projects that we were anticipating have continued to be put on hold as the market uncertainty has caused certain customers to pause developments. While Mesta shipments in Q4 were strong, we still saw some shipments delayed from Q4 and will now ship in Q1 2025. This slowing is expected to continue in 2025. We are continuing to develop our power quality sales, which will allow us to offset some of this, and it is an area that is not so dependent on limited projects and customers. We successfully launched a number of additional products during the last few years in order to more fully serve our customers and access more of the market. We saw acceleration in other sectors, especially emerging industries such as renewables and data centers, and several of our traditional markets experienced high levels of activity throughout the year. The broad coverage of our markets, largely due to our distribution partner network, and greater capacity allowed us to benefit from the growing sectors and achieve our strong growth. Throughout 2024, we executed on our strategy of organically expanding our manufacturing capacity, acquiring businesses to enhance our power quality portfolio, and strengthening our distribution channel. 2024 delivered significant achievements in our capital expansion plans. We brought new production online with the launch of our new factory in Mexico during the second quarter. In addition to opening this new factory, we announced an additional $20 million investment in further capacity expansion in Mexico. This investment will expand production of our custom transformer portfolio, particularly large high-power transformers that are widely used in commercial and industrial markets. This new factory will add more than a $100 million in annual production capacity to our custom portfolio once fully ramped up. This expansion will not only enhance our North American delivery platform but also shorten wait times for our customers. On the M&A front we completed the Micron acquisition in October. Micron is a leading manufacturer of industrial control transformers. They have a strong reputation in the OEM and industrial automation space and this deal will strengthen our position in the OEM market with a broader portfolio of high quality products. Industrial control transformers play a critical role in protecting sensitive equipment and integrates well with our power quality portfolio. Micron's US-based manufacturing capabilities will enable us to better meet the growing demand for domestically made energy efficiency and automation solutions. We continued to build our distribution channel in the U.S. And Mexico. We added more distribution locations and strengthened existing distributor relationships by integrating our power quality products into their expanding portfolios. With 64% of our sales now coming from a well-diversified distribution channel, we are well positioned to maximize our future capacity and drive additional growth. Our people and culture efforts, our recognitions, highlighted by our Great Place to Work certifications in Canada, the U.S., and in India. We promoted John Bailey to become our new Chief Operations Officer, bringing deep industry expertise and an intimate understanding of our operations. Additionally, our Chair of the Board, Bill Hammond, received a Lifetime Achievement Award from the Electro Federation of Canada, an honor that reflects his lasting contributions to the industry. Our teams continue to actively engage in sustainability initiatives supporting our dedication to making a meaningful impact on the planet and the communities we serve. And you can learn more about our initiatives by reviewing our 2024 ESG report. As we look to 2025, we see near-term challenges presented by geopolitical uncertainties, tariff concerns, and the shifting economic landscape. While there are some short-term adjustments that would come from tariffs, we are comfortable that we can adapt quickly with a goal to protect margins. For the standard products that are produced in Mexico, so are most of the same products of our competitors. For products produced in the U.S., they will see increased material input costs since there is insufficient domestic supply for major material components such as grain-oriented electrical steel. We believe in combination these dynamics would ultimately lead to increased pricing over time as the impacts flow through the supply chain. On the flip side, project activity in various traditional and emerging markets remains strong. This activity provides us with momentum for our custom business, which we expect to continue in 2025. Beyond 2025, we continue to believe in a positive market outlook. Just recently, a recent S&P Global Commodity Insights Report predicts a 35% to 50% increase in electricity demand in the U.S. from now until 2040. This will create many opportunities for us to grow in the electrical space. With that, I would like to hand the call over to our Chief Financial Officer, Richard Vollering, to provide some context to our financial results. Richard.
Richard Vollering : Thank you, Adrian, and good morning, everyone. We reached another record in terms of sales in the fourth quarter. Sales in both Canada and the U.S were strong, as were sales in India and at Mesta. In addition to these higher organic sales, almost a full quarter of micron sales were included as well. The stronger US dollar also had a slightly positive impact on sales. Gross margins in the fourth quarter came down slightly from the third quarter, but were slightly higher than in 2023. The higher margin in the year was a result of a more favorable product mix made up of a larger proportion of custom and configured products and relatively less higher volume standard products. Offsetting this were unabsorbed factory costs due to the new facility in Mexico, slightly higher commodity costs during the year, and a stronger US dollar. Excluding share-based expenses, SG&A costs were higher in the quarter than the previous three quarters, primarily due to the higher volume-related expenditures, the timing of certain projects, and one-time expenses that were booked late in the year. We expect that SG&A expenses will return to [levels] (ph) seen in the previous quarters in early 2025. Net income was $71 million for the year, up from $63 million in 2023. Adjusted EBITDA was [$130,484,000] (ph) for the year, or 16.6% of sales. This compares to adjusted EBITDA of [$117,228,000] (ph) in 2023, or 16.5% of sales. EPS was $1.99 for the quarter and $6.01 for the year. Working capital increased in Q4 due to the addition of inventory to support our new warehouse strategy and higher accounts receivable due to higher sales. As a result, networking capital increased to 20% of sales. We expect that inventory levels will decline as the transition to the new warehouse strategy is completed in 2025. Capital expenditures were $41 million in the year, up from $20 million in 2023. Total spending against our $80 million announced capital program is approximately $45 million. We expect capital expenditures in 2025 to be approximately $40 million, including maintenance capital. Cash flow from operations was $65 million in the year, which was used for the purchase of Micron, the capacity expansion CapEx program, and our investment in SmartD. All of these activities represent significant investments in our future growth. Our balance sheet remains strong moving into 2025 with net cash of $21 million, allowing us ample financial capacity or future acquisition or capacity expansion projects. We are pleased with our results in 2024, which we feel reflect a good balance of investing and growth, managing margins and profitability, maintaining financial strength, and allowing ourselves opportunities to continue to grow going forward. Thank you all for calling in this morning. I will now hand the call back to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Matthew Lee with Canaccord Genuity.
Matthew Lee: Hi, good morning guys. Thanks for taking my question. Maybe start with a quick housekeeping one. Can you just quantify the impact of the one-time items [EBITDA] (ph) in the quarter and just talk about what some of those items might have been?
Richard Vollering: Hey, good morning, Matt. Richard here. Yeah, Matt, just as a round number, I'd say about $2 million. And we indicated part of that was due to the acquisition, part of it is due to some internal projects. As we've talked about before, we've been investing significant amounts in building our internal capabilities in terms of adding tools and improving processes. But yeah, I would sort of think about that in the range of $2 million in the quarter.
Matthew Lee: Right, and then if that's coming off in 2025 then should we think about margins being kind of mid 16% range for EBITDA run rate.
Richard Vollering: If you had made that adjustment for the fourth quarter you'd end up with roughly mid 16% adjusted EBITDA margins. And we think 16% to 17% is the right range right now, given our current cost structure.
Matthew Lee: Got it. Okay, Then maybe onto the [mid-year] (ph) topics. You know, the big question right now is probably around tariffs. I appreciate there's a lot of uncertainty, but maybe talk about how you see pricing demand and margin shape up if we do enter into a tariff environment.
Adrian Thomas: Hey, Matt, it's Adrian. You know, I made the comment in my opening remarks just to sort of recap there. In the kind of initial implementation of tariffs, that would increase costs, and depending on where the products are made and one of the things we do know is the bulk of the materials you need to build transformers is not produced in the US. That's grain-oriented electrical steel. So whether you're manufacturing outside of the US or inside the US, tariffs are likely to have a cost impact. And to the extent that demand remains high and we continue to see that electrification trends continue, we would expect that cost to be passed along in price.
Matthew Lee: Okay, got it. And then have you seen any slowdown in terms of projects or demand related to these new tariffs potentially coming on or just overall uncertainty in macroeconomics?
Adrian Thomas: What we saw in the second half of last year seems to continue, which is just sort of uncertainty slowing sort of what we see as the general kind of commercial construction business. So that impacts our standard products on the flip side. Other projects, emerging sectors, things like data centers, the quote activity, shipments, activity in general remains high and that's benefiting our custom business. We haven't seen anything to indicate otherwise at the moment.
Matthew Lee: Okay, that's helpful. I'll queue up again. Thanks.
Operator: Our next question comes from Rupert Merer with National Bank.
Rupert Merer: Hi, good morning everyone. I'd like to start by drilling down a little more into the tariffs. So the U.S. has already levied tariffs on steel imports, which of course, should impact goes. I was wondering how does that impact your U.S. operations? What are you seeing so far? And are you able to recover that incremental cost through pricing out of your U.S. operations today? Are we already seeing that price impact?
Adrian Thomas : So we have manufacturing facilities, Rupert, in Mexico, U.S. and Canada. We can produce the same products, we produce in the U.S., in Mexico, and to some degree in Canada. So we look at a strategy considering our total footprint.
Rupert Merer : I see. And can you confirm then that your products are not currently facing tariffs, you are all [CUSMA] (ph) compliant across the board in Canada and Mexico?
Adrian Thomas : So the products we make in Canada and Mexico are compliant with U.S. MCA.
Rupert Merer : And is that consistent across your competitors? Would you say that it's true for all of your major competitors? Or are there any that may not be compliant?
Adrian Thomas : I can't speak directly to our competitors. What I could say on the standard products, we see the majority of our competitors also producing in Mexico. But I can't make a comment on whether they're compliant or not.
Rupert Merer : Now Canada has put some retaliatory tariffs on the U.S. on imports of some metal products, some wires, some seal enclosures, for example. Does that impact any of your supply chain for building in Canada? And if so, do you have any opportunities to switch suppliers?
Adrian Thomas : One of the benefits of our scale Rupert, is our ability to have a supply chain with multiple suppliers. So we are constantly leveraging all our supply routes to minimize any impacts of the tariffs on our business.
Rupert Merer : Okay. Great. Then just maybe one final follow-up on the tariffs. What can you do to buffer the impact of future tariffs? Are you looking to build inventory in the near-term? Should we -- I think, Richard, you said inventory should go down in 2025, but could it go up in Q1? And so inventory, but also on the contract side, are you able to build contingencies into contracts on long lead orders?
Adrian Thomas : I think you have two questions there: how do we manage long-term orders, and second sort of the retaliatory tariff aspect. So one thing which we are not anticipating, it seems like trade between Canada and Mexico is stable. About two-thirds roughly of our business in the U.S., and there's about one-third that is going to be less impacted with the North American geopolitical dynamics. So that does provide some buffering. In terms of long-term contracts, we do have protections in our long-term contracts to allow us to adjust for certain events, and this would be one of those events.
Rupert Merer : Okay. Great. And on inventory, do you expect inventory to pick-up further in Q1?
Adrian Thomas : So our inventory buildup was not directly related to preemptive tariff management. It was -- as you know, we opened a new distribution center in Texas to allow us to better serve our customers, to get products to them more quickly. And so when you are building up a warehouse before you start flowing from it, you have an influx of products to prepare for the opening. So that I would expect to go back in 2025 to more of a run rate sort of period.
Rupert Merer : All right. Great. I’ll leave it there. Thank you.
Operator: Our next question comes from Jim Byrne with Acumen Capital.
Jim Byrne : Yeah. Good morning guys. Obviously, some big changes to the AI landscape and the potential impact on data centers. Are you seeing any of that? Or how do you think some of those power requirements could impact you in the future?
Adrian Thomas : So our take on that, Jim, as we've shared before, our -- we look at data center as part of our emerging sector business, which we look at renewables, EV charging, other sort of technology-related emerging sectors. That at the moment, makes up less than 20% of our business. So we are well diversified. However, we do see activity in the data center business growing and growing quickly. We haven't seen any change to that. Our view is, if data center energy requirements and costs come down, it is likely to allow more data centers to put up more quickly. So I think from a demand side, it probably wouldn't change the dynamics much because you may have some smaller power data centers, but then you're going to have more of them. AI, implementing AI business right now is still relatively expensive. And so if the cost of implementing AI goes down, I think it will increase industry's consumption of AI product. So I think it will have sort of an offsetting effect on the industry as a whole. So the data center business for us in the near term looks very robust.
Jim Byrne : Okay. That's great. And then just thinking about price increases, you've kind of typically passed along kind of seasonal or annual price increases. Are you planning anything for 2025 as of yet? Or how is the customer feedback so far?
Adrian Thomas : So last year we announced a price increase in the spring, we've announced to our customers a price increase, and that will go into effect in April.
Jim Byrne : Okay. That's great. And then the -- you mentioned the commercial construction and kind of the slowing growth that was consistent in the back half, still seeing today. And then any signs that the Mesta kind of slowdown will pick up in 2025? Or are you kind of seeing consistent numbers on the Mesta side?
Adrian Thomas : For the Mesta business, and when we speak of the Mesta business, I want to be very specific to the induction heating portion. That product is very specific to certain industries, and specifically it's very sticky with certain customers. And those customers have projects, and some of those projects go into developments for sectors like chip manufacturing, which then leads into things like EV vehicles and things like that. So we've seen those projects slow down significantly. And we saw that last year it kind of got paused and then put back on, and that's why we saw the pickup in Q4. But that's project-based. So I would expect 2025, unless -- 2025 to be as I mentioned, sort of still driven by those project dynamics. And so we really doubled down on focusing, on growing out the power quality portion of that business. And we've done a lot of work in marketing and training of our distributors, making sure the products are available through our distributor channel. And that will help us offset some of those declines on the induction heating side of our business.
Jim Byrne : Okay. And then maybe just lastly, just thinking kind of longer-term trend here, obviously U.S. administration wants more and more manufacturing in the U.S. beyond moving some of your manufacturing capacity down there. What -- I assume this trend over the next number of years would be positive for your business as more plants and factories were built there?
Adrian Thomas : I think the more the U.S. industrializes, the more opportunity there is for us for sure. And what we are seeing is a lot of the industrial processes and other things are moving more to electricity as the primary energy source, which is also positive for our business. I referenced in my opening remarks a study by S&P Global Commodity Insights, specifically talking on electricity demand in the U.S. and that was a very recent study reconfirming. There was another study from the Department of Energy on data center build-outs that was also showing the dramatic growth in energy consumption from that sector. So we certainly think that the tailwinds for electrification in North America are very strong.
Jim Byrne : Okay, that’s great. I’ll pass the line. Thanks guys.
Operator: Our next question comes from the line of Nicholas Boychuk with Cormark Securities.
Nicholas Boychuk : Hi, good morning guys. First question on the competitive environment. We talked in the past about how there's been a lack of supply side response specifically for the dry-type market. And I appreciate that grain-oriented steel that comes into the U.S. is going to negatively impact everybody. But are you guys seeing any change in response from competitors, specifically in the dry-type market? Is there any shifting of the tide there?
Adrian Thomas : I guess nothing remarkable, Matt -- sorry, Nick.
Nicholas Boychuk : Okay. On the distribution side of your business with your channel partners, any extra color you can share on how they're holding up conversations they're having with you? You've mentioned before that, obviously, if you were increasing inventory levels, to help them, speed with which you could fulfill orders, that's a big differentiator, are they seeing something different that is changing how they are interacting with you such that you need to change something on your end?
Adrian Thomas : Look, I think we value a lot our distribution network. We try to be the easiest partner for them to deal with. We built a lot of trust and loyalty in terms of how we work with them post-COVID. And I think we're entering another time of a lot of uncertainty and question marks. And so we have communicated to them quickly, clearly on how we would manage different scenarios when the tariffs were announced. And we've gotten positive feedback that they appreciate the clarity of communication and our willingness to work with them. So I think in times of uncertainty, our focus on customers, the flexibility that we have both on the front end commercially, but also in leveraging relationships on the supply side, have given us a great advantage. And we have this ability to be big enough where we have options, but small enough where we are nimble. And I think our distribution partners really value that. So I think in times of uncertainty, those traits make us a great partner for them to work with.
Nicholas Boychuk : Okay. Makes sense. And then the last for me. You've got some new capacity coming online in Mexico, and I appreciate that some of it is going to be stock and some of it is going to be custom. But in the event that the general bucket that you were previously mentioning, the construction stuff is slowing down, how are you thinking about the initial capacity utilization for that new facility for the next, call it, 12 months to 24 months? Is there any concern that you're going to have a bunch of unused utilization?
Adrian Thomas : So we have two facilities. We opened one last June. That was twofold. It was reshoring some products that were made in Asia, into Mexico. And it was expanding capacity, allowing us to optimize footprints across North America. So there are some smaller Power Quality related products that we are producing there. That factory had sort of a 5-year time horizon in terms of full ramp-up. The factory that we announced last year around shortly thereafter is fully dedicated to custom product at the moment. So we still have some bottlenecks in the custom power side of our business, and that factory will allow us to remove those.
Nicholas Boychuk : Okay, appreciate the extra color Adrian.
Adrian Thomas : Thanks Nick.
Operator: Our next question comes from Matthew Lee with Canaccord Genuity.
Matthew Lee : Hi, thanks for having me again. I think you mentioned earlier when answering kind of one of the questions that you could add capacity in the U.S. if need be. Would you be doing that organically? Or is there maybe an opportunity here to acquire some smaller U.S. competitors and build that capacity up more quickly?
Adrian Thomas : The supply chains in our industry are quite complex. So you have to evaluate sort of costs, material costs, labor costs complexities between each of the three countries within the USMCA. We believe for the products we built today, it is more effective for us to build out new capacity than to acquire. As I mentioned before, if we're going to acquire a company which does what we do, we'd be looking for some benefit from that, which would be access to customer sets or suppliers or market sectors that we don't have access to today or we have limited access to. I think Micron is a great example of that. They had strong relationships with OEM customers. We know that business is very sticky. And we also know many of their customers had opportunities for our Power Quality products. So it kind of opened some channels, gave us a lot more flexibility to give us a U.S. footprint. So I think to the extent we could find a company -- another company like that, acquisition is an opportunity. But what we've seen traditionally, we can build out capacity faster and less expensively than acquiring.
Matthew Lee : And just from a logistical perspective, it would be the Pennsylvania facility that could be expanded if need be?
Adrian Thomas : We have capacity -- so Pennsylvania produces our power electronics products. So this is our active harmonic filters and our induction heating products. From the transformer side, we have a facility in California. And through Micron, we have a facility in Illinois. Those two facilities produce various transformer products.
Matthew Lee : Okay. That's helpful. And then maybe last one for me, just in terms of a larger picture philosophical question. Given your balance sheet and cash flow, as well as some of the noise around your stock, any appetite here for a share buyback to create some value?
Richard Vollering : Yes, Matt, I -- it's not really -- I mean, we haven't changed our strategy here, right? We've had a growth strategy for a long time. And ideally, we would like to reserve our financial capacity for as we said, additional capacity where we need it, and acquisitions. And then that's still our first priority. So I don't think we want to sort of make dramatic changes in that respect quite yet.
Matthew Lee : Okay, fair enough. Thanks for taking my question guys.
Operator: [Operator Instructions] Our next question comes from the line of Rupert Merer with National Bank.
Rupert Merer : Hey, Adrian, wondering if you can talk to us a little more about the say the relationship between your backlog and bottlenecks and growth. So the backlog was flat. And I know that means you're seeing an increased order rate because revenues are higher. But you have talked about the ability to win new business with shorter lead times as you debottleneck the business. So wondering, where does this go in 2025? Do you expect the backlog to sort of remain pretty flat here? Or potentially, does that go down? And can you talk to us about how much new business you could win if you can reduce lead times? How important is that?
Adrian Thomas : Yes. So capacity brings us a few things, Rupert shorter lead times and the ability to take on more larger projects. So when you look at our markets, there are some parts of the market where we are not the limiting factor. In those cases, lead times are not as critical to winning business. A lot of the business that we do with OEMs, they have made investments to increase their capacity. They have brought their lead times down. And so for winning that business, we need to support our OEM customers with shorter lead times that allow them to deliver their products to their customers faster. So we believe there is opportunity for us to lever shorter lead time cycles in that section of our business. We still see that a lot of electrical equipment still has fairly long lead times. But being prepared for us not to be the bottleneck, I think is really important. And then the last, as we see some of these large CapEx projects go when we see things like data centers, our customers need a supplier who can produce significant volumes of product. And so building out that capacity gives them the confidence that, working with us, we can deliver the equipment that they need in the timeframe. So there are sort of three different scenarios there, but you can definitely see the need to supply large projects with quantities and then you can see, with the OEM market, the need for shorter cycles to support them winning business.
Rupert Merer : And the new facility you are building in Mexico that's focused on custom products, what's the cadence of your capacity increase? When do you start to see the benefit of that? And when will it be done?
Richard Vollering : So the additional power capacity should be online by the back half of the year, Rupert.
Rupert Merer : Okay. And it will be a step change? Or is this something that you think in terms of capacity, of course not sales? Or is that something --.
Richard Vollering : And I mean you can -- once the equipment gets put in place and once we've hired people, which can happen over the timeframe of a quarter or two, then it becomes a question of how do you layer the orders in and start to fill the production in. And so we'll start to see that happening in the back-half of the year, we believe and some of that will stretch into 2026 as well.
Rupert Merer : All right, very good. I'll leave it there. Thank you.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Adrian Thomas for closing remarks.
Adrian Thomas: Thank you, operator. and thank you, everyone, for joining us today. Last year, we demonstrated focusing on our customers, our ability to bring capacity online to meet demand, and our broad market reach gives us options to grow during unpredictable scenarios. We acknowledge the near-term challenge presented by geopolitical uncertainties and a shifting economic landscape have risen. However, the long-term tailwinds for our business remains strong. With a resilient business model, diversified market exposure and continued focus on innovation with our customers, I'm confident that we're well positioned for another successful year in 2025. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.